Operator: Greetings and welcome to the Haynes International Incorporated’s fourth quarter 2009 earnings conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Stacy Knapper, Vice President and General Counsel for Haynes International Incorporated. Thank you. Ms. Knapper, you may now begin.
Stacy Knapper: Thank you, Chris. As Chris noted, this is Haynes International Inc. conference call for the fourth fiscal quarter and fiscal year ended September 30, 2009. This call is also being broadcast over the Internet. With me today are Mark Comerford, President and Chief Executive Officer of Haynes and Marcel Martin, Vice President and Chief Financial Officer. Before we get started, I would like to read a brief cautionary note regarding forward-looking statements. This conference call could contain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1933and Section 21E of the Securities Exchange Act of 1934. The words believe, anticipate, plan and similar expressions are intended to identify forward-looking statements. Although we believe our plans, intentions and expectations reflected or suggested by such forward-looking statements are reasonable, such forward-looking statements are subject to a number of risks and uncertainties, and we can provide no assurance that such plans, intentions or expectations will be achieved. Many of these risks are discussed in detail in the company’s filing with the Securities and Exchange Commission, in particular, in its Form 10-K for the fiscal year ending September 30, 2009. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. In addition we will discuss certain non-GAAP financial measures on this call. In accordance with applicable SEC regulations, reconciliation of the difference between these non-GAAP financial measures and the most directly comparable financial measures calculated and presented in the forms of GAAP were included in our press release, and are available on our website at www.haynesintl.com,under the Investor Relations tab. I will now turn the call over to Mark.
Mark Comerford: Thank you, Stacy. Good morning everyone and thank you for joining us. By now I believe you’ve all seen our earnings release for the fourth quarter and fiscal year end and had a chance to review the information. I’ll briefly recap the results, touch on some key points for the year, and then get into what kind of activity we’re seeing in the marketplace today. I will then turn it over to Marcel for a more detailed view into the numbers. Our fourth quarter and fiscal year end results included revenue of $85.6 million in the quarter, down 46.8% from Q4 2008’s $160.8 million. Sequentially, the $85.6 million is down 12.9% from the third quarter fiscal ‘09 revenue of 98.3 million. For the fiscal year, revenue finished at $438.6 million, down 31.1% from fiscal ‘08’s $637 million. Sequentially, the fourth quarter loss of $3 million compared to the third quarter loss of $10.9 million. We made progress in the quarter, especially taking the fourth quarter’s lower revenue into account. However, we still have quite a bit work in front of us as fiscal 2010 is likely to continue to be impacted by reduced absorption of fixed costs due to the economic and competitive environment. Finally, as we mentioned in the release, we managed to reduce our revolver balance from $11.8 million in the beginning of the year to zero, and we finished the year with about $105 million in cash. Needless to say, fiscal 2009 was extremely challenging. Our financial results were disappointing however I think there were some bright spots during the year. We recognized the fall in demand early in the fiscal year. We adjusted our operations to keep material moving. We cut spending and conserved and eventually built our cash position. We also plotted the supply chain and mastered several key market opportunities like alternative energy. We then mobilized some work to convert those ideas into revenue. This is something our technical marketing group excels at doing. You’ve heard me talk about our alloys exploiting new growth in the solar and nuclear supply chain and we are continuing to develop new applications and broaden our exposure in new markets and new geographies. In fact, we’ve recently received some good news from our customers that a group that received DOE funding for new higher efficiency steam turbines called, Advanced Ultra Supercritical Steam Turbines and they are requesting more characterization work on some of our materials. Obviously, this is very early stage, but it represents how our people are resourced to the technical community and are key [trust] involved in early design decisions. We’ve also expanded the use of key metrics across our business focusing on cost reduction initiatives and extending our Lean and Six Sigma programs. During the year, we were also nominated for the 2009 Indiana Governor’s Award for Environmental Excellence, and we were recognized by Indiana Lieutenant Governor Becky Skillman, for environmental stewardship. Furthermore, working with Purdue University and US Department of Energy, we’ve taken on initiatives in our plants, which we estimate will result in savings of approximately $300,000 in annual energy costs. We’ve also continued Haynes commitment to safety. Today we’ve surpassed one million man hours work, without a loss work day case at our Kokomo facility, significant milestone for manufacturing environment like ours, in fact some of the full year. It also attributes to the employees, that working safely is our highest priority. Worldwide we’ve only had one loss work day case in all of calendar 2009, and just to frame it for you, I think the number was about 15 in 2008. A year ago, we committed to our employees, customers, and shareholders that we would focus on operational excellence, innovation, service and financial strength. I think you’ll find the items I listed above are technically into those four concepts. It’s about getting organized, measuring our progress and fixing things when we go off track. Finally, we announced the quarterly dividend of $0.20 per share and our intention to invest $65 million over the next five years, to enhance equipment capabilities in our plants. This will help us to reduce operating costs, improve cycle times and improve delivery performance, so that we become a better more reliable supplier to core customers. We are also committing greater effort to our technical marketing presence here in the US, as well as in Southeast Asia. We are reallocating resources where they are most valuable and we’ll also be doing so, in Europe in January. Now let me move to the market place and what we are hearing and seeing from our customers. Overall the business climate remains very slow. We’ve moved off the lowest levels, but as we said in our last call, we expect the current low demand business climate to continue through at least the first half of fiscal 2010. Seeing tide mainly the large capital projects and late stage markets, we’ve positioned the business to operate in this down market. That said, we are not sitting on our hands, we are out fighting for market share in our core markets and as I’ve mentioned before we’re seeking new opportunities in new markets and new geographies. With respect to our specific business in aerospace which represents about 37% of our revenue, Boeing and Airbus build schedules held up well over our fourth quarter, which is a tribute to their backlogs. Their order [entry] also looked a bit better than last quarter but it’s still well off their prior high levels. On the engine side, as we’ve discussed previously the engine makers have been cleaning out their supply chains aggressively in the past year. Notable in the quarter, the engine makers show significant reductions in commercial engine deliveries. For example, I think I believe it was GE commercial deliveries were off about 16% in the quarter and [Track] Canada which handles things like business jets, reported deliveries off I think it was more 20, 25%. Compared to the fourth quarter of fiscal ‘08, we’ve also seen shipments down approximately 42% that you saw on our 10-Ks sequentially our fourth quarter shipment level was just slightly below third quarter. Our order entry levels in aerospace are a bit stronger, but nothing that I’d yet call significant. On the land-based gas turbine side which represents roughly 22% of revenues, volumes held up well during the fiscal year, off only 8.3% from fiscal ‘08. Meetings we’ve had in recent months with OEMs and Tier 1 manufacturers indicated that this business is slowing. The MRO side reports great backlogs, but a slowing of reorders. Also you if you take a look at our sequential business in land-based gas turbine, this confirms that our volume was down significantly in the quarter. Longer term, there remain very positive prospects for this industry. Power demands worldwide will increase. Meeting with some of the alternative energy people, we asked about what they see happening to this industry, and they reminded us that many alternative energy platforms require backup power which will most likely benefit this market. Another positive note that we’ll probably see nearby, I believe I heard the GEF class turbines will be coming in for maintenance. So there are some potential for increased volume in the upcoming year. Moving to the chemical process market, this segment accounts for about 25% of our revenue, and both volume and pricing we hit hard in fiscal’09. We believe this market will remain very competitive for traditional products as the business level turns more transactional, meaning more MRO business. We are however seeing some new design activity in new applications involving higher corrosives which may require Haynes alloys. These types of applications are still in the incubator phase and are unlikely to materially impact fiscal 2010. Also of note, sequentially in this market, you saw our volumes pick up quite a bit. In our other markets category which comprises 16% of our revenue, business has been slow in the industrial heat-treating and automotive as you might expect. On the flue-gas desulfurization side, the discussions I’ve had with customers indicate that their projects have been quoted and planned, but many of the instances have been slowed until the broader economic picture becomes clearer. I think the situation there like in a lot of price is bit of a cash conservation ploy right now. Overall, order entry has increased since our last call. In the fourth quarter, the backlog drop in dollars but helped relatively firm on volume. Since September 30, we’ve seen small increase in order activity. We are still operating at levels well below acceptable, and the recent bounce in order entry is nothing like 2008 or 2007 level. We still have lot to do and a long way to go. With that, I will turn to over to Marcel so he can give you a deeper dive into the numbers.
Marcel Martin: Thank you, Mark. I will briefly review our fourth fiscal quarter and fiscal year end results compared to last year’s performance, as well as our outlook for fiscal 2010. Net revenues in the fourth fiscal quarter were $85.6 million, a 46.8% decline from a year ago. This $75.2 million decline is the result of a 31.8% decline in volume, which accounted for $51 million of reduced revenue and a 22% decline in average selling price per pound which accounted for $24.2 million of reduced revenue. The economic downturn continues to have an unfavorable effect on our top line results as demand in our three primary markets continues to slow, impacting volume and pricing. In addition, pricing has also been impacted by increased competition in the marketplace and lower raw material prices. Gross profit margin in the fourth fiscal quarter was $4.9 million compared to $34.4 million a year ago, which was a reduction of $29.5 million. Our gross margin profit as a percentage of revenue was 5.7% in the period compared to 21.4% last year. The 5.7% gross profit margin for the fourth fiscal quarter was in line with our expectations. The items that contributed to the reduction in gross profit margin between periods were reduced revenues caused by significantly lower volumes and selling prices, which reduced the gross profit margin by approximately $16.1 million and lower fixed cost absorption due to reduced volumes, particularly which of sheet compared to last year with reduced gross profit margin by approximately $13.4 million. For the fourth fiscal quarter, there was a pre-tax loss of $4.3 million, which included a severance charge of $1 million associated with the August 6, 2009 reduction in force. For the fourth fiscal quarter, there was a tax benefit of $1.3 million, which was primarily the result of a loss from the operations. The effective tax rate for the quarter was 30.2%, which included a one-off tax charge of $400,000 representing a change in the state apportionment factor which lowered the blended state tax rate, resulting in an unfavorable reduction of our deferred tax asset in the fourth fiscal quarter. The [earnings] noted resulted in a net loss for the quarter $3 million or $0.25 per diluted share, versus net income of $16.3 million or $1.35 per diluted share in last year’s fourth quarter. Net revenues for the year were $438.6 million, a 31.1% decline from the year ago. This decline in revenue of $198.4 million is due to the lower volume in selling prices between years, which occurred for the same reason as noted in the quarterly comparison. For the year, the volume decrease of 20.6% accounted for $131.1 million of the reduced revenue on a decrease in average selling price of 13.3% accounted for $67.3million of the revenue reduction. Gross profit margin for the fiscal year was $22.5 million, compared to $144.7 million a year ago, a reduction of a $122.2 million between the years. Our gross profit margin as a percentage of revenue for the fiscal year was 5.1% compared to 22.7% last year. The items that contributed to the reduction in gross profit margin were reduced revenue as a result of significantly lower volumes in selling prices between periods, which reduced the gross profit margin by approximately $45 million, as well as the higher cost material from inventory to the cost of goods sold compared the last year which reduced gross profit margin by approximately $36.2 million and lower fixed cost absorption due to reduced volumes particularly that of sheet compared to last year which reduced gross profit margin by approximately $41 million. For the fiscal year there was a tax benefit $8.8 million which was primarily the result of loss from operations. The effective tax for the fiscal year was 14.4%. The rate was reduced by the impairment of goodwill in the second fiscal quarter which for the most part is not tax deductible. The effect of the goodwill impairment has reduced the effective tax rate by 23.6%. Net loss for the fiscal year was $52.3 million or $4.36 per diluted share, compared to net income of $62.8million or $5.22 per diluted share in fiscal 2008. Excluding the goodwill impairment charge, our net loss was $9.5 million. The key measure performance to note is the gross profit margin percentage [turning] from the last quarter of fiscal 2008 through the fourth quarter of fiscal 2009. Gross profit margin percentage in the last quarter of fiscal 2008 was 21.4% and declines through the first, second and third quarters for fiscal 2009 to be 14%, 5.8% and a negative 8.3% respectively for each quarter and then improved to 5.7% in the fourth quarter of fiscal 2009. Improvement in gross profit margin percentage from the third quarter of fiscal 2009 to the fourth quarter of fiscal 2009 was achieved despite a reduction in revenue of $12.7 million between the quarters and reduced absorption of fixed manufacturing cost primarily due to lower production of sheet cost between quarters. As a result of continued lower demand and challenging economy the company expects that revenues for at least the first two quarters of fiscal 2010 will be below the revenue in the fourth quarter of fiscal 2009. The management believes the company’s performances in the next two quarters will range from breakeven to small loses in each quarter. It is expected that the weakest results will occur in the first quarter of fiscal 2010, as typically this quarter is impacted by fewer ship days and extended customers shutdowns. As of September 30, 2009, backlog dollars declined 5.9% from June 30, 2009, and 53.5% from September 30, 2008. Backlog continues to be a very good indication of a level of future revenue. The decline by individual markets of the US backlog dollars from September 30, 2008 to September 30, 2009 and from June 30, 2009 to September 30, 2009 are as follows. Percent decline 09/30/08 compared to 09/30/09. Our aerospace backlog was down 60%, chemical processing was down 57%, and land-based gas turbines was down 57% and there was no change in the other market category. Percent change from 06/30/09 to 09/30/09, aerospace was down 11%, chemical processing was up 5%, land-based gas turbine was down 35%, other markets was up 47%. Our cash flow performance, particularly the inventory reduction was clearly the most rewarding aspect of our performances in the fourth fiscal quarter and fiscal 2009. The combined result has led to reduced inventory dollars for fiscal 2009 by a $122.1 million or 40% of reducing aggregate pounds by 4.5 million or 26%. As anticipated, inventory reduced in the fourth fiscal quarter by $16 million and 1 million pounds, with inventory at September 30 of a $182.8 million and 12.9 million pounds. Our key growth assessment position ourselves as the inventory build required to support the eventual economic upturn will not be as demanding as it was in fiscal 2008 and 2009. Inventory and cost reduction efforts continue to be of high priority within the new organization. Our goal is to be cash neutral in fiscal 2010, and that will depend on selling prices, cost of raw material and our continued success in reducing costs. We finished the year with controllable working capital, which consists of inventory AR, AP, stacks AR and AP, as a percent of sales of 59.4%. The goal was to reduce the ratio to 45% which is equal to percentages in fiscal 2006 and 2007. If that can be achieved, assuming that raw material cost remains steady, the company will be able to increase sales without any additional cash requirement for working capital. We continue to maintain a strong and conservative balance sheet. We have a strong liquidity position and our minimal debt covenants give us good financial flexibility with access to a potential $120 million of borrowings. We closely monitor our accounts receivable and another areas of financial exposure, and intend to effectively manage our cash position in order to be prepared to take full advantage in the eventual upturn in business. In addition, we have the flexibility available to deal with any unforeseen challenges or opportunities such as a series of large commercial project orders cross markets we serve, despite the raw material costs which is passed through to customers, and ultimately recovered but on a delayed basis, a possible decision to accelerate capital spending measures in the previous discussions or an opportunity to make an acquisition in support of our current business. Significant progress has been made at Haynes over the last five years. We are focusing on the current environment to optimize our position, but most importantly, we are planning out the next five years in order to continue the process of creating value for our shareholders. The company has generated significant cash in recent years and has managed to pin in debt despite the current challenges, the company will continue to generate significant recurring earnings and cash flow to support the payment of the dividends and also fund all other corporate [farmers], including working capital and CapEx spending and pension funding on a perspective basis. With that, let me now turn it back over to Mark.
Mark Comerford: Thanks Marcel. As I mentioned, we committed the operational excellence, innovation, service and financial strength, we think these four core objectives, will provide our employees with a safe enjoyable strong work environment, our customers with the quality, reliability and value they need to grow, and our shareholders with a rewarding investment for the long-term. I would also like to say I’m very proud of the team here at Haynes for taking action and forging ahead in a very difficult 2009. We have more to do. We are applying metrics across our business units and everyone has accepted their role and accountability. We’ve generated cash, but we also have to get back to sustain profitability. We started the process of getting our equipment back to operable and reliable and we have to build on that. We have to keep developing new applications and new materials as that will be our key to finding boarder markets and serving our core markets better. Aerospace, land-based gas turbines and chemical process are tough core markets in today’s environment, but long-term the prospects for growth are strong and the performance of Haynes alloys, are key in growing the technology in these markets. With that, let’s open the call to questions.
Operator: Thank you. (Operator Instructions). Our first question comes from the line of Edward Marshall with Sidoti and Company. Please proceed with your question. Your mike is now live.
Edward Marshall - Sidoti and Co.: My first question center’s around kind of what your anticipation or what your expectations are for inventory levels in the channel. I know it’s important for the stainless steel which seems to have a lot of inventory in the channel. What can you kind of share with me on your individual segments, what looks tough, what looks kind of lean at this point?
Mark Comerford: Just taking a look at things and looking at our core markets, like we said the aerospace business we’re seeing a little bit of a bounce, things are stabilizing a bit and I think the expectation from a lot of people is that, that’s going to start to the bounce soon. I don’t have the order book to support that today, but we do have a flatting out order book with a little bit of increase as we said since September 30. If you look at the land-based gas turbine side of the business, we’ve been talking about it for the last couple of quarters, how we expect slowing in that. If you take a look at the fourth quarter results, you saw slowing in our shipments into that market place. Now some of that is timing, but obviously, more importantly as I think that market is now starting to clean out its supply chain, in the way the aerospace guys started doing it. As I said the engine guys started it doing it as soon as I joined the company 12 months ago, so. We still think there is some pain to through in the land-based gas turbine side of the business. Chemical process guys that’s, the OEM side of it is always trying the new projects and things like that. Money has been getting freed up in that area and we saw it through shipments in the fourth quarter and lot of it’s being in China we talk a lot about. I think that’s going to be a market that’s going to kind of be a [start too]. There is going to be up and down and up and down for the next few months depending on timing of new projects and the MRO business. The MRO business is still pretty decent, lot of pricing pressure though in that market. Did that help, Edward?
Edward Marshall - Sidoti and Co.: It does. So may be I could talk about kind of a follow-up to that, the trends that you are seeing. With the exception of the seasonally weaker December quarter, kind of guidance that you’ve already given us, and thank you for that. Can you kind of speak directionally about the trends that you are seeing, are we bottomed, are we still continuing to weaken or are we kind of just stabilized at this point with recovery as a question mark?
Marcel Martin: From our perspective, if you look at our backlog, and that’s really always the first thing we focus on. We have about 4.5 million pounds in backlog at the end of June, and we had that at the end of September. If you look at October, we’ve got the same 4.5 million pounds again. So I think from an order entry perspective, we probably have bottomed. Now, there are some ups and downs between the market segments. Aerospace isn’t down as much. We are seeing some slight improvement in the chemical processing order entry rate, and also in the other market categories which refers to some of the things that Mark spoke to relative to solar-nuclear energy related aspects in the other category for us. So, overall, I’d have to say that, I think from a pound perspective, we are probably at the bottom and looking forward to those improvements to come in the future.
Mark Comerford: If you have noticed, we are a little bit more conservative than some of the other guys in the materials industry that maybe you’ve spoken to. I think if we had a large 300 series stainless steel product line or a tool steel product line or even electronics or copper based alloy product lines, those tend to be the things that lead the market. The consumer side of the business seems to be doing a lot better, so the copper guys I think are starting to see a little bit better volume come through their plants. You’re starting to hear from some of the guys that are supporting the automotive talk about their tool steel business picking up a little bit and you’re starting to hear guys in the stainless side of the business start talking about restocking and things, and it’s going hand with hand with things like the housing. If you notice, the appliance guys, like Whirlpool etcetera seem to be doing pretty well. If we carried one of those product line I think wed probably be more firm talking about a bottom, but I think what you’re seeing out there is, a lot of the guys that are in the high performance alloy sector are even high performance alloy sector are still saying, ‘Look, things are flattening out. We are seeing an increase in order entry and things look pretty good but we don’t have the order book sitting there right now to say that this is going to be a sustained recovery for us.’ So, we’re probably just a little more conservative than most people right now.
Edward Marshall - Sidoti and Co.: Do you generally lag a couple of quarters; the recovery in these other markets?
Mark Comerford: I am sorry. I didn’t hear that Ed.?
Edward Marshall - Sidoti and Co.: Do you generally lag the recovery in these other markets by maybe a couple of quarters of so?
Mark Comerford: Yes. If you think about it, I think that the rule of thumb, you usually hear about guys in a high performance alloy sector specially someone who’s tied to aerospace, land-based gas turbine and chemical process. Those are big plants and big pieces of equipment. The general term is late stage. I think a lot of people tend to say, you know, we are going to lag things by nine to 12 months.
Operator: Thank you. Our next question comes from the line of Tim Hayes with Davenport & Company. Please proceed with your question. Your mike is now live.
Tim Hayes - Davenport & Company: Two questions. First on the chemical side. You had a big upturn or a nice rebound in the volume side but the selling prices came down a lot. I wanted to understand that better. I don’t want to read in that the mix deteriorated because the volumes were up quite a bit. Did you just get a lot of new orders or new business for lower end type of businesses? If you can just go into more color on that please.
Marcel Martin: That’s pretty much exactly it Tim. What we saw is, it’s still specialty alloys, but for someone like Haynes, down towards the commodity end of the spectrum of alloys that we produce, the volume of those types of material groups was pretty strong for shipments in the quarter.
Tim Hayes - Davenport & Company: Is there any specific applications that that’ll go into that we should be aware of?
Marcel Martin: I think just a normal market type. We’re talking about chemicals, fertilizers, sulfuric acids. 
Mark Comerford: Yes, mainly acids, phosphoric acid and things like that are a lot of these types of products.
Tim Hayes - Davenport & Company: Then the second question on your sale to china, you had a nice big increase in fiscal’08 and then that came back down in fiscal’09. I was kind of curious, what was really driving the reduced sales, was that China sourcing, doing more of their products internally domestically or was some other of your competitors taking business to be more aggressive in China, just more color on that if you could?
Marcel Martin: I think, if you look at what happened in China the earlier part of the year, when the recession really took hold, everybody stepped back and just said, we need to figure out what exactly is going to be happening, what’s going to be impacted. So on the CPI side of the business particularly, there was a drawback and people put off projects that had been on the drawing board and postponed those projects. I think that you’ll begin to probably see some of that activity reassert itself, later in the year. However, I think that will be the driver relative to our CPI business in China, in the whole Asian area.
Mark Comerford: Lot of our business Tim is, let’s take fiscal 2008 and prior to that and even this year, a lot of our business in China is tied to OEM activities, new plants and the nice thing is that’s going to create a nice MRO market, in three or four years from now, but lot of it is OEM big plants, builder material type of business and yes, you can imagine gosh October to March of this year, we couldn’t get a latter credit out of China, so we couldn’t.
Tim Hayes - Davenport & Company: Sure. In the last couple of months have you seen enough trends in the sales to China?
Mark Comerford: Well I think what we have seen is overall, if you look at the statistics coming out of china and relative to their growth rates, we haven’t seen a lot yet because these are very large projects. However, what you’ve seen is an increasing rate of activity in China, and they are talking obviously the (inaudible), it’s talking about that rate of growth continuing into 2010 and 2011. So I like to think we’ll fall along in that respect.
Marcel Martin: Yes, Tim, just to let you know, the landscape in China is definitely changing as you mentioned in your question also, so it is becoming very, very competitive over there for block all the lower end spectrum of the materials we manufacture.
Operator: Thank you. (Operator Instructions) There are no further questions at this time. I’d like to turn the floor back over to you for any additional comments you may have.
Mark Comerford: Chris thanks very much. In closing just want say thank you to everybody for your support of Haynes. Also just want to drop your line to enjoy the holidays and please stay safe. We’ll look forward to talking to you again in the near future. Thanks very much.